Operator: Ladies and gentlemen, my name is Denise and I am your conference facilitator today. I would like to welcome everyone to the Cleveland-Cliffs 2019 Third Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. The company reminds you that certain comments made on today’s call will include predictive statements that are intended to be made as forward-looking within the Safe Harbor protections of the Private Securities Litigation Reform Act of 1995. Although the company believes that its forward-looking statements are based on reasonable assumptions, such statements are subject to risks and uncertainties that could cause actual results to differ materially. Important factors that could cause results to differ materially are set forth in reports on Forms 10-K and 10-Q and news releases filed with the SEC, which are available on the company website. Today’s conference call is also available and being broadcast at cleveland-cliffs.com. At the conclusion of the call, it will be archived on the website and available for replay. The company will also discuss results excluding certain special items. Reconciliation for Regulation G purposes can be found in the earnings release, which was published this morning. At this time, I would like to introduce Keith Koci, Executive Vice President and Chief Financial Officer.
Keith Koci: Thanks, Denise. And thanks to everyone for joining us this morning. I'll start the call with some remarks on the quarter before turning it over to Lourenco for his comments. Overall, Q3 was highlighted by exceptional operating performance and capital spending under control at our HBI plant. Total company adjusted EBITDA was $144 million for the quarter. Adjusted EBITDA from our Mining and Pelletizing segment was $183 million on 5.8 million tons of sales volume, roughly in line with expectations and with a greater portion of third-party sales than anticipated. In our company sales to our Toledo HBI plant were 346,000 tons. That resulted in a $13 million inventory profit elimination, which is reflected in the corporate segment. Our Q3 intercompany sales were lower than previously guided, as we diverted a portion of DR-grade pellet tonnage to the seaborne market. Those sales have yet to be recognized due to the additional time needed to complete export transactions. As you saw on this morning's release, we updated our full year sales volume expectation to 19.5 million long tons to reflect timing and economics on the export sales we discussed last quarter, with some export likely falling into next year and some held in inventory. This implies about 6 million long tons of sales expected in the fourth quarter, a slight increase in volume from Q3 and includes the remaining, approximately 500,000 tons of intercompany sales. Our Q3 Mining and Pelletizing price realization of $96 per long ton, though healthy, fell below our previous outlook range, due primarily to the steep declines in both the pellet premium and domestic steel pricing relative to the last data guidance points used. There were no significant changes in mix and therefore the price realization should have been reasonably predictable based on sensitivities we have provided in the past. Because pricing in our contracts are based on annual average rates for the relevant commodity indices, pricing reported in prior quarters reflected actuals and estimates at those points in time. To the extent actual pricing varies from these estimates, we always true-up what had been recorded in previous periods. In many cases, these true-ups are not noticeable. But in a quarter like this one, where the pellet premium fell nearly $30 and the HRC price fell over $100 from their guidance points, the true-up became more sizable. Our latest full year revenue guidance range has been updated to reflect current commodity prices and falls generally in line with revenue sensitivities that we have historically provided. From a cash cost standpoint, our Q3 print of $63 per long ton came in 6% lower than last quarter. This was a result of strong cost performance at the operational level and deferrals of certain major spend items, as well as lower revenue-linked costs. We had previously guided to the high-end of our range based on elevated revenue projections and the corresponding effect on royalties and profit sharing. With the lower index pricing, along with operational outperformance, we were able to bring costs down this quarter and lower our full year expectation to the middle of our $62 to $67 per ton guidance range. With this boost from the cost side, in spite of all of the pricing-related noise, our cash margin on pellet sales for the quarter was a solid 34%, an industry high number among U.S. producers. As for CapEx, we spent $160 million in the third quarter, $138 million of which was toward our HBI plant in Toledo, Ohio. We have now spent $344 million there this year, and we remain ahead of our original start-up schedule. Due to revised timing of certain payments, we have reduced our expected CapEx spend outlook by $25 million for the current quarter -- for the current year, which is now in the $625 million to $675 million range. As we enter into the final phases of major spend toward project completion, we remain very comfortable with our liquidity position. At the end of the third quarter, we had $400 million in cash, an untapped $450 million ABL facility and a debt maturity profile with nothing due until 2024. As a result, we were more than comfortable paying a special dividend on top of the regular dividend this month. We've designed our capital structure to weather volatility. Even in the midst of a major capital project and a three-year low in steel prices, we have returned approximately $325 million to our shareholders this year. And as you know, we remain on a clear path to strong positive free cash flow generation starting in the middle of next year. At that time our free cash flow will be defined as EBITDA minus $220 million on an annualized basis. With that, I'll turn it over to Lourenco.
Lourenco Goncalves: Thank you, Keith, and good morning, everyone. I will start today call your attention to a very important point. After our very profitable second quarter here at Cleveland-Cliffs and despite all the skepticism toward the iron and steel industry throughout the entire third quarter Cleveland-Cliffs delivered profits again in Q3. Our third quarter numbers one more time for you. Adjusted EBITDA was $144 million, our net income was $91 million, and our earnings per diluted share were $0.33. Also, last week we paid our regular quarterly dividend, and we added a special dividend on top of that. Why am I stating all these things? Just to emphasize on obvious thing that's apparently not so obvious. Regardless of all the noise in our space and in the overall market, Cleveland-Cliffs actually makes money and pays dividends. With that out of the way, I'll talk about the most exciting event of the third quarter, which occurred on the last day of September, when we topped out the 457-foot tower at the construction of our HBI plant in Toledo, Ohio. To those investors, who have asked us about critical path items and key milestones to look forward to that was it. When you drive through Toledo, you will not be able to miss the majestic structure that our dedicated construction team has erected. We still have a lot of work to do and capital ex to deploy, but we remain well on track to bring Cleveland-Cliffs into the next generation of steelmaking by the first half of next year. We are currently in different stages of technical and commercial negotiations with several steel companies who are interested in our HBI. These companies need metallics, and they have been importing pig iron from mainly Russia, Ukraine, and Brazil. Differently from imported steel imported pig iron is not subject to any trading restrictions yet. But, who knows, if that maybe the case in the future given the current and future geopolitical situation. Remember, we here at Cleveland-Cliffs we plan in advance. And we have proved that to be the case time and time again. Also, many electric arc furnace steelmakers prefer to source metallics without longer-duration contracts, which we are totally fine with. However, given the uncertainty of the supply and competition from other steelmakers, some have shown a desire to guarantee volume for longer stretches of time. We are happy either way. Whatever works for our clients, works for Cleveland-Cliffs. Long story short, as far as our commercial arrangements with our HBI customers we are exactly where we intended to be. Now, moving on to the quarter. The most surprising event of the quarter was the unnatural drop in the pallet premium, which from August to September represented the largest month-over-month change in history. The lower pellet premium affected our view on the economics of certain planned export sales. For a moment in June, July export sales could net us a healthy margin, but given the pellet premium drop this export sales became less attractive. As always, we once again acted in the best interest of the company and its stakeholders and that explains the reduction in our full year volume outlook. As we have always done we do not choose volume over value. We prefer value. We do not sell extra tons at a loss just to be able to use a bigger denominator when calculating cost per ton as other companies usually do. Here at Cleveland-Cliffs, we prefer profits. Despite the healthy underlying commodity price expressed by a robust IODEX throughout the entire quarter the pellet premium tanked in Q3. That was purely a consequence of commercial incompetence by the biggest supplier of pallets to Europe. Let me give you a little background on what happened. Regardless of the internal economic slowdown in China, and the restrictions on unfair trade imposed by Section 232 in the United States, the Chinese muse and its – their surrogates continued to overproduce a steel on pace to surpass one billion metric tons this year and up almost 10% from last year. With the U.S., out of reach the excess steel produced in China needs a new dumping ground and their best option at this time was Europe. The diversion of Chinese steel into Europe directly or through surrogates as well as a generally weak European economic environment have negatively affected the European steelmakers, which are the largest consumers of seaborne iron ore pallets. The biggest supplier of pallets to Europe is Vale. And they historically signed annual contracts with these steelmakers with a negotiated pellet premium that's set for the entire year. And that number flows into an index called Atlantic Basin pellet premium. That brings us to the two bad commercial moves made by Vale. First in light of the weakness in the European market and the inability of the steel mills to be profitable in such environment, European steelmaker begged Vale for a relief and Vale conceded. Specifically Vale abandonment contracts that were signed to cover the entire year and cut them off to give these folks a break which then impacted the Atlantic Basin index. The other bad move from Vale came earlier, actually late last year prior to Brumadinho. Rather than just continue their practice of negotiating a flat premium that incorporated both the quality of the pallet as well as its iron ore content based on the 62% iron IODEX, Vale decided to start using the 65% iron content index instead of the IODEX. Next, the steel mills reaction against the change, because while the 62% IODEX is affected by iron ore produced by all three majors: Rio Tinto; Vale; and BHP, the 65% is essentially a Vale index mainly supported by Vale operations in Brazil. Well, they moved to the 65% backfired badly on Vale's face. Since Vale promoted the change, the differential between the 65% index and the IODEX have collapsed from $30 last year to $6 currently. A massive drop directly impacting the calculation of the Atlantic Basin premium, while we know that you cannot control what others do, this type of irrational behavior is hard to predict as it amounts to a self-inflicted wound. Said another way, what Vale has done negatively affects not only itself, but also all other pellet merchants and should not be ignored or overlooked. This all being said, the great differential component of the pellet premium gives us confidence that we should start to see a recovered in the Atlantic index soon. As the differential recovers, the pellet premium will directly recover along with it. A $6 great differential is absurd and only tells us that China actually does not care about the environment. If premiums for 65% ore do not recover, that's basically an admission from the Chinese that they are happy to continue to pollute the environment with reckless abandon. It would help if the members of the press influential figures from the business and academic sectors and public officials at all levels and both parties actually talk about pollution made in China. Unfortunately, as we have seen in several current events, so far no one and that includes Apple, Google, General Motors or even the NBA is actually willing to risk losing exposure to that 1.4 billion person market. With that, China continues to get a free pass to pollute the world and destroy jobs everywhere, while they grow their own middle-class and destroys ours. Luckily, Cliffs is a U.S.-focused company and we do not care about offending an enemy country of the United States, one that is actively making our planet a worse place to live. We really hope that extreme levels of pollution in China will one day be treated seriously instead of being willfully ignored by big corporations and their short-term profit-driven CEOs, by giving universities collective full tuition from an already absurdly enormous and growing number of Chinese students and by coward foreign governments unable or unwilling to protect their citizens against economic aggression and job destruction. More than anything, we believe that the absurd levels of pollution in China should become a decision-making point on the investment thesis of ESG-driven institutional investors. We actually believe that these investors might play a major role going forward. From our part, we at Cleveland-Cliffs will continue to educate these ESG-driven institutional investors regarding the completely different environmental impact of iron and steelmaking in the United States and everywhere else, particularly in China. Our quarterly results were also affected by weak domestic steel pricing. HRC is now below the $500 per short ton mark a lot of this just has to do with global conditions. The world still produces a lot of artificially cheap steel laced with pollution, subsidies, and currency manipulation with obviously, China as the main culprit. While the current low steel price in marketplace puts more pressure on blast furnaces than on EAFs, none of the integrated companies supplied by Cliffs have idled any furnace. Furthermore, fears about EAFs taking all blast furnace market share at once are totally unrealistic. While some less efficient blast furnaces have already shut down, the best-in-class ones are surviving and we are actually stay in place for several years. There's not even enough high-quality scrap and metallics to allow for EAFs to match the tonnage and quality levels that the best-integrated steel mills currently produce and sell to high-end applications. It all goes unnoticed even taken for granted, but this has been another fantastic year for Cleveland-Cliffs' operations. I think the main reason why there is so much focus on pricing and commodities from Cliffs' investors is because they know that our operators never give them anything bad to talk about. Every month, quarter, and year, we produce high-quality pallets in a safe, responsible, and environmentally-friendly manner. When was the last time we missed the production targets? Or had a major cost blowout? Or had a major operational incident? Or even a minor one? It just doesn't happen because we have the best operations in the mining business. This level of expertise, stability, and consistency at the operational level allows us to remain steadfast in our strategy which hasn't changed since I came to Cliffs five years ago. We are emphasizing our competitive strength in the differentiated American steel market. Our strategy is geared towards the two unique characteristics of the U.S. steel industry; one that our blast furnaces are a 100% fed with pallet. We are the only ones that have that in the entire world. And two that a majority of the steel produced in our country uses the electric arc furnace route. You will not find any major steel-producing economy with either of these characteristics throughout the entire world which is why you'll not find any companies like Cliffs in the world. We are perfectly fit to thrive in this distinct business environment of the American steel industry. For a long time, we have been supplying our blast furnace to market with pallets made in USA. And going forward, for the majority share electric arc furnaces to maintain or grow their share, they also need a steady source of metallic steel stock made in USA, which we are soon bridging to the Great Lakes with our first-of-a-kind HBI plant. Wrapping up, we understand cyclicality and we embrace volatility. During the last several years, we have taken care of our balance sheet and have positioned ourselves to withstand the inevitable bad times. At this point, we are a dividend-paying company and a CapEx-driven growing enterprise. Five years ago nobody would think that that would be even remotely possible except of course us. We knew we could do it and we have done it. Now when others panic, we see opportunity -- actually several different opportunities. We have seen this play-out before and can embrace these cycles rather than panicking and changing strategy like others usually do. And because cycles drive things down and then up. The start-up of our HBI plant in the first half of next year will happen when things will be heading up in the cycle. With all that advantage that have laid out including our rock-solid operations, our unique position in the industry and a history of taking advantage of cyclicality, we at Cleveland-Cliffs have a lot to be excited about. I will now turn the call over to Denise for the questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Lucas Pipes with B Riley FBR.
Lucas Pipes: Hey, good morning, everyone.
Lourenco Goncalves: Good morning, Lucas
Lucas Pipes: Lourenco obviously there's been a lot of volatility on the pricing front - IODEX you've alluded to all three of them...
Lourenco Goncalves: Lucas -- you are going on and off. I can't hear you.
Lucas Pipes: Sorry, about that. Just to...
Lourenco Goncalves: Denise is it just me or you are also hearing that on and off?
Lucas Pipes: Sorry, about that. To ask the question -- Lourenco the question is at spot prices, do you have a sense for where the realize price are coming? Thank you very much.
Lourenco Goncalves: Operator?
Keith Koci: Lucas, we provided that in our press release. If spot were to hold up for the rest of the year we provided a range of $97 to $102 that's where we would end up in 2019. And that includes any true-up that would be recorded in Q4. So that's what would happen.
Lucas Pipes: And in terms of -- if we jump into 2020 and the current spot prices persist do you -- would you be able to provide a range for pricing given the current economic prices for the Atlantic pellet premium HRC prices and IODEX?
Lourenco Goncalves: Look first of all Lucas, we always provide sensitivity. But keep in mind we are now at a time in this cycle that we have hot-rolled coil in United States at a -- the rock-bottom in terms of prices. Nucor already released results and was abundantly clear that they see prices starting to go up and we expect others to reiterate that as they release results in the next few days. And I explained the stupidity that Vale implemented with the pellet premium that's now being correct as we speak. And the IODEX continues to be very strong. Remember a few years ago, let's say, in 2015-2016 if you were to follow where the commodities deck were saying that price would be in 2019, we would be below $40, maybe below $30. We are -- there's one at $87 and we have been above $90 for a long, long time and above $100 for a while. So we are in a good shape. So as things get back to normal, like I can't even say they improve, they get back to normal as far as what would price pellet premiums I would want to be in good shape in 2020. But we are not there yet. We -- as Keith said, we are going to inform those sensitivities at the right time. So not yet.
Lucas Pipes: Okay. I appreciate that. And then just a follow-up question on the Atlantic pellet premium. Lourenco, I very much appreciated your perspective on what happened and what drove the price lower. But just in terms of what could be a catalyst to reset prices higher, what are your thoughts on that? And when do you see that playing out? Thank you very much.
Lourenco Goncalves: Yeah. The main catalyst at this point is the improvement of the price of the 65% iron content. Remember Vale replaced by their own making, the IODEX with the 65% or at least they were working on that when Brumadinho hit, started around October. So during October, November, December and part of January, the time frame was wasted with Vale trying to convince their clients throughout the entire world that now the pellet premium is not changing, just changing from the 62% to the 65%, very smart. Because 62% they don't control. But the 65%, they believe that they did because they are the only one producing 65% and above. So that backfired badly. Rookies make these mistakes. Remember Vale now is a combination of bad operations -- operators and a bunch of rookies that have no clue of what they're doing there. So we were a subject to that. And then Brumadinho hit and there was panic. And you know what happened with price after panicking. Not all muse embarked on that stupidity. Contest and then they came back in forced Vale down. But now things are going back to normal, the 65% is back to a normal differentiation between itself and the 62% IODEX and that to be the most important factor to fix the pellet premium. Because now the pellet premium that Platts makes public, calling the Atlanta Basin pallet premium is a number engineered back from the 65% pellet premium, plus the 65% iron content, plus the actual pellet premium that was fixed in the past or now recalculated based on the contracts that were renegotiated with the clients and then they recalculated what's called the Atlantic Basin pallet premium. And the 65% going up will force the Atlantic Basin pellet premium to go up and that's why we expect to happen very soon.
Lucas Pipes: That’s very helpful. I appreciate all your color, Lourenco and team. Best of luck. Thank you.
Lourenco Goncalves: Thanks so much.
Operator: Your next question comes from Curt Woodworth with Credit Suisse. Your line is open.
Curtis Woodworth: Thanks. Good morning Keith and Lourenco.
Lourenco Goncalves: Good morning, Curt.
Curtis Woodworth: So Lourenco in terms of the decision to lock up vessel capacity and offset some of the deferrals you were seeing, can you give us a sense of what your export volume was 3Q, and your expectation for 4Q? And can you quantify the amount of deferrals that you saw? And did those just get pushed out into 2020? Or how does that work?
Lourenco Goncalves: Yeah. Look thanks for the question because that too help me clarify one very important point. We reduced our yearly forecast from 20 million tons to 19.5 million tons, so by 500,000 tons. Based on the 500,000 tons that we're planning to export Q3 and we did it. And we did not because with the reduction in the pallet premium that we saw in the marketplace that I have already discussed a lot during this call. The export business that we're planning to take care of in Q3 were no longer profitable for us. So the answer is we missed the export by 500,000 tons in Q3 and we are maintaining everything that we planned for Q4 which is -- has been characterized by underlying nominations by our domestic customers not being affected by anything. So we did not have any further reductions in nominations in -- related to Q4. We're good for Q4. So the 500,000 tons were the -- were not exported in Q3 as we originally planned.
Curtis Woodworth: Okay. That's helpful. And then when you look at your contract structure for next year, can you give us a sense if demand does say what is the level of I guess volume banning parameters that companies can choose i.e. if there's like a one million ton contract, is it like a 10% banning in terms of what the take-or-pay could look like just to get the sense of the sensitivity? Thank you.
Lourenco Goncalves: Yes. Look we don't go -- as you know Curt, we don't go in a contract-by-contract thing with outsiders including research analyst. But I would like to emphasize a few points that are very important. None of our blast furnace customers are blast furnaces other than AK Steel shutting down Ashland that was two years ago. Recent -- in the recent past including the entire year and more -- even more important during this last quarter none of our blast furnace customers idled in blast furnaces. Certain contracts have minimums others don't. And we are going to need additional pellet sales to Toledo next year at approximately 1.5 million long tons. So that's pretty much it what I can tell. The other that's very important to have in mind is that for next year we have one thing that we never had before. We're never going to have DR-grade optionality. We will have above and beyond the DR-grade pellets that we are using for our own plants in Toledo. We are going to have the opportunity to sell and we call this sales export, but our main client is Nucor in Trinidad Tobago and we plan to continue to sell DR-grade pellets to Nucor.
Curtis Woodworth: What type of premium do you get for DR-grade pellet?
Lourenco Goncalves: Well the DR-grade pellet contains a premium that's slightly higher than the Atlantic Basin pellet premium. So we can use that numbers as a reference. It's a Platts number as well. Okay? Thank you.
Curtis Woodworth: Thanks.
Operator: Your next question comes from Alan Spence with Jefferies. Your line is open.
Alan Spence: Thank you, good morning guys.
Lourenco Goncalves: Good morning, Alan.
Keith Koci: Good morning, Alan.
Alan Spence: I had a couple of questions. First, on the cash cost, the guidance for midpoint of the $62 to $67 range, given the impact from royalties and profit sharing, which of your two provided ASP ranges is that one based on?
Lourenco Goncalves: I will -- I'll have Keith respond to this one.
Keith Koci: Yes. It's really based on neither of those it's more of an internal view that we don't necessarily historically share. But you can kind of use the sensitivities and kind of gauge where it's going. But it's neither of the two ranges that we put out there.
Alan Spence: Okay. Thank you. And in terms of the true-ups that we -- that happened in Q3 it sounds like that's just on the pellet premiums in HRC. In a downside scenario where would benchmark IODEX need to go before that triggers a negative true-up?
Lourenco Goncalves: You'll have that Keith?
Keith Koci: Yes. I mean the year-to-date averages is $95. Spot is currently $86. So if it stays below the year-to-date average of $95 throughout the Q4, you'll see a little bit -- you'll see a bit of a true-up there in Q4.
Alan Spence: Okay. And the last one for me, once HBI starts up mid next year, how are you thinking about capital allocation? Obviously, with the contribution from HBI and CapEx falling away, free cash flow will be significantly higher. You mentioned debt maturities are well pushed out. How do you consider buybacks versus dividends at that point?
Lourenco Goncalves: So first of all, CapEx will go back to normal. It will go back to the historical levels which here in this company we always consider between $3 and $3.50 per ton. So if you multiply by 20 million tons for a the sake of a heavier number, that's easy to deal with to be for -- Mining and Pelletizing would be between 60 million and 70 million tons of CapEx, add another $30 million for contingence then the number would be less than $100 million on an ongoing basis. And the other question was about dividends. We will continue to pay dividends and we plan to increase dividends as soon as we no longer have to spend money on HBI.
Alan Spence: Okay. And I guess, I assume, buybacks will be opportunistic as they might be relevant?
Lourenco Goncalves: Look buybacks are another way to return value to the shareholders. Remember throughout the five years that we had to fix the company, we had to issue stock. We had no option. We had to issue stock in certain periods of time in order take advantage of opportunities in the capital markets and we did. So the main reason why I went all the way through buybacks was basically to restore the share count that was original before. We had to make transaction that clearly increased the share count. So not taking share count back to the 270 million shares, we are happy with that. I don't believe that we are going to be prioritizing buybacks. We are going to prioritize dividend. We like what we did. We did, because it was the right thing to do at the right time. Shareholders were all in support, research analysts were all in support but that was it. The rationale behind was share count, not because we believe that's the best way to return money to the shareholders. The best way to return money to the shareholders is by means of our dividend. That so far is a very robust regular dividend. And every now and then, when the cash is available and when the conditions support, adding a special dividend. So we are going to be more into the dividend side with regular dividends and special dividends.
Alan Spence: Okay, that’s perfect. Thank you very much, guys.
Lourenco Goncalves: Thanks, Alan.
Operator: Your next question comes from Matthew Fields with Bank of America Merrill Lynch. Your line is open.
Matthew Fields: Hey, everyone.
Keith Koci: Good morning, Matthew.
Matthew Fields: I know you're feeling strongly about the pricing environment getting better in terms of steel and the premium, but in the case that sort of steel prices in the U.S. don't improve dramatically, where do you feel comfortable with your balance sheet? Like what's the overall debt level where you feel comfortable being able to continue to pay a dividend and sort of operate HBI and even grow the dividend? Like what's the overall debt level where you feel comfortable to whether down cycles?
Lourenco Goncalves: Well, first of all, as far as debt levels, we're comfortable right now, because we -- it's not just debt levels. Our debt is totally under control and even more important, we have no maturities until 2024. So we are in a position that we put ourselves there. So very few companies can say that I have no maturities for the next five years, that's Cliffs and we did that to ourselves. That's the very first thing. So that for us, at this point is just the interest and the interest for us is $120 million a year. So things need to be really bad for us to be concerned about debt at this point, because we are not going to be not even close to that level, as we proved that in Q3. We know how to deal with this type of volatile pricing environment. One other thing is that, if we think about a really bad scenario as far as pricing stay in place so many companies will go down so earlier than Cleveland-Cliffs, because they haven't done what we have done that the situation will correct itself just by means of this natural selection if you will. The weaker will go away and the stronger will survive making for a smaller number of players in our marketplace that hasn't changed in terms of size. So we should be in great shape. But this is just a theoretical exercise. That's not how things work. You're starting to see some movement among boards and retirement of CEOs and traditional companies buying newbies. And we're started to see panic all around and LG likes that a lot. I have been building my career on seeing others panic and making my moves. So stay tuned, because prices will go up, but if price don't go up a then it will be like a playground for us here.
Matthew Fields: So speaking of traditional companies buying newbies, which I assume you're referring to U.S. Steel Big River love to get your thoughts on that transaction and the potential implications of U.S. Steel potentially shutting down a couple of their older mills and being even longer on the pellet side?
Lourenco Goncalves: Matt, surprising thing is do you believe in that – I'm going to are we going to – to express my opinion on that transaction in my earnings call? But I can only wish to the players over there good luck because they will need a lot.
Matthew Fields: All right. Fair enough. Thanks very much.
Lourenco Goncalves: Thank you, Matt.
Operator: [Operator Instructions] Your next question comes from Seth Rosenfeld with Exane. Your line is open.
Seth Rosenfeld: Good morning.
Lourenco Goncalves: Good morning, Seth.
Seth Rosenfeld: I have a couple of questions first on your cost base and then moving on to HBI pace. On cash cost obviously you saw a pretty significant reduction Q-over-Q, which benefited your results from the quarter. Can you just comment on the impact of deferred maintenance and contributing to that reduction? How sustainable is that? Or should we expect some sort of swing back higher maintenance spend in the coming quarters? And then secondly, on HBI please. Could you please show your updated thoughts on pricing methodology? I think in the past you guided to price based on some combination of prime scrap pig iron HRC. Given the progress you're making with customers, what do you think now is most likely pricing methodology with your past guidance that HBI could be -- maybe three times more profitable than traditional pelletizing is that still a realistic target for us? Thank you.
Lourenco Goncalves: Yeah. Look let me start from the second the HBI price methodology. You already described the methodology as far as what we have released in terms of public information. So there's no change on that and we are going to be referring pig iron delivered to the Great Lakes as well as busheling scrap. These are the two main parameters that will be used in our pricing calculation. And they are going to have to leave at that. As far as the deferred maintenance I will have Keith answer in a more numeric way. I just want you to know Seth and everybody else in this call that we don't defer maintenance to the point of putting our equipment at risk. We have proven that in 2015, 2016 when things were a lot uglier than they are right now. Right now, they are actually very pretty. So we might move things here and there, but that's normal course of business. And then things that we don't do in November – late November or December we do in January of the following year. So Keith?
Keith Koci: Yeah. The impact Seth was about $0.50 on the standard cost for 2019. Some of that will go into the first quarter or the full year average of 2020 but not the full impact of the $0.50.
Seth Rosenfeld: Thank you very much. Just a follow-up with regards to HBI, if I can push please given that you have given the guidance in the past of three times more profitable. Is that still a reasonable target for us?
Lourenco Goncalves: Yes. Look we are now in a very strange moment for prices to reference other prices. For a normal range of prices, yes. For this artificially squeezed pricing deck, not really. But because we know that this pricing is not going to stay, I will keep my previous guidance because things will recover to a more normalized levels.
Seth Rosenfeld: Thank you very much.
Operator: Your next question comes from Brian Lalli with Barclays. Your line is open.
Brian Lalli: Very good morning guys.
Lourenco Goncalves: Good morning Brian.
Brian Lalli: Good morning. Lourenco maybe as a bit of a follow-up to Matt's question earlier and appreciate that you're making this investment in Toledo to reduce some of your exposure to the blast furnaces and the cyclicality there as you mentioned in your press release. But do you mind maybe giving us some sense for how you see this shifting steel marketplace playing out for the blast furnaces? Obviously they're still consuming over 3/4 of your pallets, even once Toledo comes online. So maybe just some strategic sense for how -- sort of how do you see that market evolving as all this new capacity and the EAFs is coming online? And sort of where did the older furnaces sort of live longer term? And how does that impact you guys? Thanks.
Lourenco Goncalves: Yes. Look this investment in Toledo came at a time that we here at Cleveland-Cliffs identified the trends of EAFs we started to not only continue to grow, but started to tap into the share of business that was historically captive of blast furnace producers integrated-steel producers. So we identified the trends and we made the move. We made the move and we are happy with the move. But we also know that these things take time to materialize. So it's not like, all the announced investments will all start up on the same day now that's not the way this happens, not all will be finished on time we also know that. And some will be canceled as we have already heard a few walking back their own statements. So we know it's coming, we know this is a trend that will continue to play out, but we also know that it takes time. Some of the blast furnace producers more than others are extremely resilient and extremely competitive. A good thing that two of those resilient and competitive ones ArcelorMittal and AK Steel, they are the number 1 and number 2 clients of Cleveland-Cliffs. So we are seeing a lot more volatility in the part of the business that's outside the Cleveland-Cliffs' customers. That's also a good thing. So we are going to see a lot of replacement of EAFs replacing blast furnace going forward, but not necessarily from the blast furnace business that is now under the control of the Cleveland-Cliffs' clients. That's how we see. And we are proud that to be a part of their competitiveness. So we work with them to make their blast furnace better their pig iron better their steel better and they do all the rest. So that's how it works. So these are trends that you continue Brian? But this is not something that we are going to expedite anything. So -- and then the next follow-up question will be so are you coming with more after HBI 1? Yes, we will come with something we will come with something after HBI 1, could be HBI 2 could be something else. But we are going to continue to follow the trends. We are going to continue to evolve Cleveland-Cliffs to adapt to an American steel market that will continue to produce steel. So by premises United States will continue to produce steel, five years from now 10 years from now 20 years from now, and Cleveland-Cliffs will be right-sized to supply the steel -- American steel market five years from now, 10 years from now, 20 years from now, exactly as we are right now. We are right-sized for the market that exists right now.
Brian Lalli: That's great. Yes you answered my follow-up question also I was going to ask. If you have any thoughts on when you might make a decision on doing something in the future and appreciate it could be years out? So, thanks for the time Lourenco.
Lourenco Goncalves: Thanks Brian. I'll take one more question then we will be done. Okay. All right. Okay. Paul Finan is telling me here that time's up. And he is controls this thing. So thank you all. Very good appreciate. It was a tough quarter we showed that we do well even in tough quarters. Q4 should be at the beginning of a trend going up. And we -- I look forward to speak with you guys early in 2020. Thank you so much. And have a great Thanksgiving, great Christmas. And we will survive in the hope that half of you will because some will not. Bye now.
Operator: This concludes today's conference call. You may now disconnect.